Operator: Good day, ladies and gentleman. And welcome to the PolyOne Corporation Third Quarter 2012 Conference Call. My name is Emily and I will be your operator for today. At this time, all participants are in listen-only-mode. We will have a question-and-answer session at the end of the conference. As a reminder, the conference is being recorded to replay purposes. At this time, I would now like to turn the call over to Cynthia Tomasch, Vice President of Planning and Investor Relations. Please proceed.
Cynthia Tomasch: Thank you, Emily. Good morning and welcome to everyone joining us on the call today. Before beginning, we would like to remind you that statements made during this conference call, which are not historical facts may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will give current expectations or forecasts to future events and are not guarantees of future performance. They're based on management's expectations and involve the number of business risks and uncertainties any of which could cause actual results to differ materially from those expressed and/or implied by the forward-looking statements. Some of these risks and uncertainties can be found in the company's filings with the Securities and Exchange Commission as well as in today's press release. During the discussion today, the company will use both GAAP and non-GAAP financial measures. Please refer to the earnings release posted on the PolyOne website where the company describes the non-GAAP measures and provides a reconciliation of them to the most comparable financial measures. I would also like to remind everyone that there are slides posted to the PolyOne website regarding the Spartech acquisition. Operating results reference during today's call will be comparing the third of 2012 to the third quarter of 2011 unless otherwise stated. Joining me today on the call is our Chairman, President and Chief Executive Officer, Steve Newlin; Executive Vice President and Chief Operating Officer, Bob Patterson; and Senior Vice President & Chief Financial Officer, Rich Diemer. Now I will turn the call over the Steve Newlin.
Steve Newlin: Well thanks, Cynthia and thanks again to everyone joining us on the call this morning we appreciate you adjusted your schedules at the last minute to participate. We've got some great exciting news this year with our investors today. First as that relates to our strong third quarter performance and second, we're especially excited to discuss the announcement of our latest bolt-on acquisition, Spartech. I'll begin with third quarter results and then we'll discuss Spartech and, of course, leave some extra time today for your questions. I'm very pleased to share the third quarter results with you as we delivered record third quarter adjusted EPS of $0.33, a 27% increase over last year's $0.26, which marks our 12th consecutive quarter of double digit EPS growth. The $0.07 EPS expansion is broadly comprised of $0.04 from organic improvements, $0.02 from reduced share count and $0.01 from ColorMatrix, demonstrating acceleration of organic improvements compared to prior quarters. Rich and Bob will share more color on the financial performance and segment details, but overall our results show continued strong performance in line with our 2012 goals. Each of our four segments improve both operating margins and profits over the last year's third quarter. On a consolidated basis, PolyOne achieved an operating margin of 7.9%. A 150 basis point improvement over the last year and a third quarter record. As has been the case throughout 2012, and well documented, as you've heard in the media sluggish demand in Europe continues to be a challenge for companies. Our results reflect our effectiveness in moderating year-over-year declines in European business improves specialty mix and curtailed pruning and global color, and additives. I just mentioned the importance of the organic component toward third quarter EPS expansion and I want to highlight just how powerful our mix improvement strategy has been and will continue to be to our results. So let me give a case point to try and illustrate. In our Global Color, Additives, and Inks segment we had a long-term multimillion dollar customer whose volume purchases with us are down over 30% this year compared to last year. However, and here's the real story gross profit dollars have nearly quadrupled, all due to mix improvement. We demonstrated how their perceive low price products were also low value products limiting their ability to grow their business. We shifted this customer to higher value solutions that enable them to differentiate themselves in the market place and reduce their working capital investment in inventory. This example is indicative of how our mix improvement strategy is driving our performance, but our success is also being enabled by our commitment to ongoing operational excellence. And while accolades from third parties aren't what drive us at PolyOne, it was really nice to see our company for the first time ever among IndustryWeek's top 50 manufacturing companies and they've recently published list for 2012. Their ranking system consisted a six key financial matrix over three year periods. So it is special rewarding that we were recognized for our performance over the longer time horizon. Those were important years in our transformation. Ones in which the execution or strategy really began to show. Late in 2008, we made a critical decision as a company to invest in and launch the PolyOne Lean Six Sigma Program. In this decision has paid huge dividends for all of our stakeholders and that would surely continue in the future. The level of achievement from this initiative has been extensively recognized externally. With the IndustryWeek recognition being the most recent. Our performance based on IndustryWeek's ranking places us in select company amongst the likes of Apple, Microsoft, Colgate, Palmolive, PepsiCo, Dell and Intel, to just name a few. And while we're very pleased by the recognition, we're even more excited about what it means for our customers. They now have a clear defined leader in our industry when it comes providing innovative solutions and supply chain performance were taken, time and time again to be there when they need us the most. You know when people think about Lean Six Sigma they often think about manufacturing supply chain throughput debottlenecking and all this different issues. While these are right for waste elimination at PolyOne, LSS is a lot more than that. We are increasing our focus with LSS on commercial projects, with a bias towards sales growth, working diligently to improve our ability to capture the voice of the customer. Further developing our expertise in translating this in the innovative solutions. All while improving the cycle time, the success rate of our product development efforts. This enhances our customers' ability to capture value increasing their competitiveness in their markets. We are focused on business erosion management as well, understanding the root cause is behind business losses and working collaboratively with our customers to solve the issues, improving our customer attention while building overall satisfaction with PolyOne. Our operational excellence efforts have delivered significant value to the organization to our customers and to our shareholders. However, we're now where near finished and we expect to drive 50 to 100 basis points of gross margin contribution per year from these efforts. As you can see again from our performance in a third quarter. Our four pillar strategy continues to deliver results, earning respect and creditability by doing what we say we're going to do. And while we're very pleased with our performance we're not resting on our laurels. There is plenty of opportunity for continues improvement and to grow this company now and in the future. And now, I will turn the call over to Rich who will review our third quarter finance results. Rich?
Rich Diemer: Thank you, Steve and good morning. It's truly a pleasure to share a third quarter results and the many record that we achieved. We reported third quarter sales of $740.2 million and just net income of $29.4 million versus sales of $735.8 million and just net income of $24.4 million to the third quarter of 2011. Adjusted EPS extended 27% to a third quarter record and $0.33 versus $0.26 last year. These results were driven by operating margin improvement in all platforms including benefits from the ColorMatrix acquisition. Sales increased 1% over the prior year but the ColorMatrix acquisition and Specialty price and mix offsetting the European demand challenges and foreign exchange which had an unfavorable impact of 3% compared to prior year. From end market perspective, we experienced strong growth on electronics packaging, appliance, and healthcare outweighed by softness in automotive and consumer. As we said last quarter, we attribute the success to our investment in commercial resources, solid growth from new product introductions and the successful integration of ColorMatrix, which continues to progress very well. As for taxes, the pre-tax special tax rate in the third quarter was 35.8% versus 35.9% in the third quarter of 2011. Special items in the quarter were principally related to environmental charges and resulted in an after tax charge of $5.3 million or $0.06 a share. As a result or our continued focus and success and working capital management, we ended the quarter with $249 million of cash and liquidity of $428 million. And in addition to the IndustryWeek magazine recognition, Steve, mentioned CFO Magazine together with REL Consulting recently ranked PolyOne's working capital performance as the best in industry along with just two other companies in the entire chemical sector. This is the second consecutive year that PolyOne's performance in working capital management has been recognized and working capital for the third quarter continues to be [world-class] at 10.5% on sales. And I'll remind you that we don't manage working capital at these levels at the expense of our customers. In the third quarter, we achieved record on on-time deliveries to our customers as measured by the original requested date of 96%. Our net debt to EBITDA ratio based on trailing 12 months pro forma for ColorMatrix was 1.6 times at the end of the third quarter. We are comfortable that we have ample flexibility on organic growth initiatives, pursue strategic and (Inaudible) activities and return cash to shareholders through dividends and given and share were purchases. Although, we will be temporarily on the side line based on SEC rules until we close our deal that we announced today. We did not repurchase any shares in the third quarter. However, during the first half 2012 we purchased 1.2 million shares at an average rates of $13.24 per share. It's been my pleasure in the three quarters that I've been with PolyOne, to share such great financial results review as well as to meet many of you over the past three quarters. I'm really excited about our opportunities ahead. With that I'll now turn the call over to Bob Patterson.
Bob Patterson: Thanks, Rich and good morning. And once again we were able to overcome the challenges in Europe to deliver operating income and operating margin growth at all platforms. Specialty revenues increased by 8% over the prior year to $309 million, driven by the ColorMatrix acquisition, [while] mix improvement and new product introductions offset partially by European demand weakness and a weaker Euro. Operating income for the Specialty platform increased to a third quarter record of $29.6 million. A 35% increase over last year and resulting in a return on sales of 9.6%, a 200 basis point improvement over the last year and record third quarter performance for the platform. As you know our Specialty platform has two segments Global Specialty Engineered Materials and Global Color and Additives and Inks, and we break the performance out for each. Starting with Global Specialty Engineered Materials sales declined 7% versus a prior year to $137 million due to lower demand in Europe and the weakness of the Euro. However, with the positive effects of our mix improvement strategy, EM delivered operating income of $13.1 million, a 19% improvement over the prior year. And this helped drive return on sales of 9.6% which is a 220 basis point improvement over the prior year. And the best operating margin in Engineered Materials since the third quarter of 2010. In fact, within EM, the GLS business unit, which makes [thermal] plastic elastomers had an all time record quarter for the third quarter in terms of revenue, operating profit, and operating margins. And you may recall just a year ago in the third quarter of 2011. We experienced weakness in EM, due to clients and consumer demand for applications utilizing a GLS soft-touch materials in consumer markets. And our [ECHO] Wire and Cable business associated with [cellular] applications. We said then that we were focused on capturing new business opportunities and we have done just that. Our other specialties segment, Global Color Additives and Inks increased revenue by 25% to $173 million due to the ColorMatrix acquisition. Sales growth in Asia lapping most of the significant pruning actions and strong pricing mix offset partially by decline in European demand. Operating income for global color reach $16.5 million. A third quarter record for this segment representing a 50% increase over the prior year third quarter. This resulted in a record third quarter return on sales of 9.6% and improvement of 160 basis points over the last year. And a highlight for this segment is that all regions including Europe contributed to a 41% increase in Healthcare revenues compared to the prior year and for the PolyOne as a whole healthcare sales now account for 12.1% of revenues. Shifting toward our distribution platform, POD reported revenues of $254 million, volume in this segment increased 3% with price declines leading to flat revenues over prior year. The most significant growth occurred appliance and electronics end markets, offset partially by weakness in consumer and industrial. Despite flat revenues margin expansion through mix improvement, enabled an operating income increase of 16% over the prior year to $16.4 million for the quarter. Return on sales was 6.4%, a quarterly record well beyond our 2012 target range and to a level within our 2015 target range. And finally, our third platform Performance Products and Solutions demonstrated the importance of the execution to deliver operating income growth, as revenue declined by 8% in quarter versus the year ago period. Much of this decrease was attributable to lower selling prices reflecting lower raw material cost over the same period last year as volumes were only down slightly by 1%. And despite the lower revenues PP&S increased operating income by 25% compared to last year, the $20.8 million and this resulted in a 10% return on sales, 210 basis points over the third quarter of 2011 and a third quarter record. Margins expanded in PP&S due to raw material dynamics. This operating margin performance is at the high end of the business, announced 2012 target range for operating margins and is already at the low end of the 2013 target range. And we're locked in on those 2015 targets, which we announced at our Investor Day earlier this year and we're aggressively pursuing them. In the interest of time, I'll now turn the call back to Steve as we will focus through remainder of our remarks this morning on the announcement of our agreement to acquire Spartech.
Steve Newlin: Hi, thank you, Bob and now for the really exciting news that we just announced this morning. We're thrilled to have an opportunity to talk about our latest bolt-on acquisition, Spartech Corporation. How it's financially and strategically compelling, and how it will further drive PolyOne's growth in near term and the long term, and most importantly how it can provide greater financial returns to our shareholders. But to fully understand why the Spartech deal is great for the new PolyOne, it's important to first take a step back remember the old PolyOne. Our longer term shareholders and those who've covered as for several years now, know the PolyOne transformation story very well. How we've evolved from a primarily commodity player to a strong and growing specialty company and how much shareholder value our company has delivered as a result. As we evaluated the Spartech opportunity, it quickly became clear that Spartech currently resembles PolyOne in the early stages of our transformation that is with strong positions in several growth segments but underappreciated in the specialty space. You know that at PolyOne we successfully transformed our legacy business into what has now become the foundation of our growing specialty company. What we see in Spartech is that same opportunities where we are poised, excited and fully prepared to perform in even more successful and value generating turnaround. During or diligence, we developed a strong appreciation for Spartech's business and product portfolio. The predominance of which is in technologies adjacent PolyOne's specialty positions. In doing so we confirm that Spartech possesses characteristics we must see in defining a company especially and here's what they are, differentiated and innovative offerings with the high degree of engineered complexity, strong customer relationship through application knowhow, capacity for leading levels of service and profit potential and the opportunity to provide comprehensive solutions, not just products. Our diligence also confirmed that Spartech's footprint in North America is solid generating 94% of its revenue and has market leading position in roughly 60% of its businesses. Spartech utilizes many technologies that serve specialty markets such as aerospace, security, and specialized packaging just to name a few and again a major point of strength for the company. They also recognize the importance of leading innovation. In Spartech's new state of the art technology centre is a prime example that company has been taking the right steps to invest in this critical area. But despite all these positive aspects Spartech doesn't achieve the commensurate value in the return, again something very reminiscent of PolyOne in the early days of our transformation. And while the transformation of Spartech is in its early phases this acquisition allows us to help to pluck the Spartech team accelerative performance improvement in make an immediate impact. Improvements will initially come in the form of traditional cost energies such as aligning manufacturing footprint with the voice of the customer, reducing redundant public company cost, leveraging our Color and Additives Solutions within their Sheet and Packaging business and raw material savings just to name a few. But we see an even greater opportunity to leverage the full spectrum of our four pillar strategy to really deliver on the significant potential that is pent up within Spartech. Specialization, Globalization, operation and commercial excellence. The strategy that led our transformation and continues to propel PolyOne's growth today, will be the same strategy that improves and grows Spartech by unleashing the value and its currently latent specialty value drivers. And in terms of specialization we'll drive a philosophy that thrives on selling value not volume, something you've watched us do successfully at PolyOne. It will be a be comprehensive shift through organization in particular within sales and marketing and will entail strengthening their commercial and technology processes and resources as was done effectively during PolyOne's transition, will increase the value of Spartech's existing strong portfolio by improving sales force efficiency and effectiveness. You know that by executing PolyOne's commercial excellence pillar that we have in turn developed the most expansive and talented sales force in the industry. We've done this by providing the tools, the training, technology, service and experience to sell value effectively by putting our customers first and as Spartech joins our team they'll now have the same level of support and incentives to reach significantly higher levels of effectiveness. And within operational excellence, we will deploy our award winning Lean Six Sigma processes and other initiatives that earned us our recent top 50 manufacturing company award from IndustryWeek. It will support integration and drive overall efficiency and quality improvements throughout Spartech. Specifically within the resourcing arena, we've identified opportunities for scale, efficiency and working capital improvements. Lastly on globalization standpoint, we have tremendous opportunity to geographically expand all Spartech's platforms from predominantly North American focus to other regions of the world, growing organically with existing Spartech customers and opening new opportunities through prospecting and cross-selling using the broader and already established global PolyOne network. As you can see the acquisition rational rationale alignment with our previous strategy is very clear and as you would expect we're excited to close this close this deal and quickly begin integration. And to cover those plans and our expectations for the associated shareholder returns, I'll next ask, Bob Patterson, PolyOne's Chief Operating Officer to provide an overview.
Bob Patterson: Thanks, Steve, and I would like to remind everyone that we posted a comprehensive slide deck, on our Investor Relations page on PolyOne.com. That provides you the more color on Spartech's clear fit within our proven strategy as well as some of the information that I will now share. Our preliminary estimate of pretax annualize synergies is $65 million in operating income by year three. By way of comparison, during last six years of PolyOne, we've delivered approximately $60 million of organic operating income growth on just our legacy specialty businesses so that's excluding acquisitions and also recognized that as PolyOne started its transformation our 2006 specialty revenue was $877 million. With, Spartech our base based is significantly larger at $1.2 billion, so you can see the inherent potential to deliver significant results. We're confident based on our analysis of Spartech, we can achieve a similar level of operating income performance but do it in half the time and here's why, Spartech recognizes the need to transformation and has taken steps to begin. The management team that Steve, has assembled over the last six years at PolyOne and our supporting cast of exceptional associates around the world is now in place. It's leadership group that has earned its creditability by delivering to shareholders and customers while transforming our company in line with our strategy. Our team is now ready and fully capable to apply what we've accomplished within PolyOne to a new opportunity and that opportunity is Spartech. A natural bolt-on candidate poised for PolyOne, our strategy and our disciplined execution. We know how to do this, we've done it before and we're eager to do it all over again. The integration will be conducted by a team of our most talented and experienced associates, Tom Kedrowski, who has run both commercial and operational programs and has been the driving force behind our operational excellence pillar at PolyOne, will lead the integration team. He is a perfect fit for this assignment and I have no doubt that he and the rest of our team will deliver in all aspects of the integration. We expect the acquisition of Spartech will be immediately accretive in the first full year after acquisition. And ultimately add $0.50 of EPS accretion, once our estimated $65 million dollars in synergies are realized. In summary, there are three key takeaways of our acquisition of Spartech. First and most importantly, is that financially this is a very compelling deal that will return extraordinary value to shareholders. The purchase price coupled with the operational synergies and opportunities to strengthen the commercial functions will drive the performance. But what's more, we will do it even better and much faster than it took us to return the strong returns our shareholders have enjoyed during our transformative years. Second this bolt-on acquisition is a clear and key component to our specialization strategy. Though a different opportunity than past acquisitions, Spartech, like the others will no doubt expand our specialty platform alongside Global Specialty Engineered Materials and Global Color, Additives and Inks. And third, this entire management team and our board of directors fully support this acquisition. Our leadership is aligned and committed to making this acquisition as successful as we know it can be and we are eager to get started on our journey of doing what we do best - execute and deliver. With that I will now turn the call over to Rich Diemer who will discuss acquisition timing, regulatory filings, related financing and our expanded share repurchase program.
Rich Diemer: Thanks, Bob, under the terms of the purchase agreement for $8 per share, Spartech shareholders will receive approximately one-third in cash and two - thirds in PolyOne's stock. The total transaction value represents approximately $393 million, including the assumption of Spartech's debt. As compelling as the strategic rationale is for this acquisition, I'm equally pleased with how we intend to financially structure the deal. It will be done through a combination of cash on hand, long-term debt and PolyOne shares that will be issued to Spartech shareholders. We have committed financing in place for $250 million in new debt and will upsize our asset backed revolver to include Spartech working capital assets. With Spartech's assets included, we anticipate our revolver to upsize to approximately $450 million, all of which will be undrawn at the date of acquisition. Our pro forma net debt should be approximate 2.1 times LTM EBITDA at the close. In addition, to the cash portion of the consideration, PolyOne will issue approximately $10 million shares of PolyOne stock to Spartech's share holders. We expect to buyback all the shares issued in conjunction with this transaction and completely the repurchase within 12 to 18 months after the close. Over time this will essentially result in a total financial impact of the company as if the deal was structured with a 100% cash. PolyOne's board of directors have increased the company's share repurchase authorization to 20 million shares to accommodate our future buyback plans. As you would expect, both the company and the board remain committed to maintaining their strong credit profile and the current annual dividend of $0.20 per share. We expect to close this transaction in Q1 of 2013. It is subject to HSR antitrust clearance and other governmental approvals and must meet customary closing conditions. We will file the Form F-4 with the SEC to register the PolyOne shares to be issued upon close. Spartech will file proxy materials and seek shareholder approval which is required to complete the deal. More explanation is available in our news release and I'll be happy to answer any questions during the Q&A segment that will commence in just a moment. I'd like to turn the call back over to Steve Newlin for some closing comments. Steve.
Steve Newlin: Well thank you Rich and I hope you can tell we are extremely excited about how Spartech expands our specialty portfolio and will accelerate the value we deliver as a company. In closing I would like to address some of the other constituents who maybe listening today. To Spartech associates, I want to welcome you to the PolyOne family. I look forward to meeting you in the future and [tell them] I want assure that as we go through the integration process we will do so with open and honest communications. In the mean time we invite you to learn as much as you can about PolyOne and how we go to market. The four pillar strategy you heard about today is the basis for all that we do and will soon be your foundation as well. The journey will no doubt include changes along the way, but in the end your business and customers will be stronger and better served as a result, you will soon become an integral part of our winning organization and we're really looking forward to that. To the Spartech customers joining us today I speak for our entire team in conveying our commitment to do everything we can to help your business thrive. It will come in the form of new and specialized solutions, coactive collaboration throughout the supply chain, accelerated innovation processes, industry leading service levels and ultimately increased value to you and to your customers. With that we have some time for questions and we look forward to discussing both our strong third quarter performance and/or the Spartech acquisition.
Operator: Thank you. (Operator Instructions) Your first call comes from Frank Mitsch of Wells Fargo Securities. Frank please go ahead you are live in the call.
Sabina Chatterjee - Wells Fargo Securities: Good morning. This is Sabina in for Frank. Nice way to keep us excited in the morning. So, just as you embark on applying PolyOne specialty transformation skills to Spartech's business. Can you just help us discriminate between what the low hanging fruit could be and maybe what initiatives could be a little bit more challenging given Spartech's current operations. I mean, as a matter it would be more difficult to upgrade some parts of its business versus leveraging other aspects.
Bob Patterson: Yeah Sabina this is Bob and I guess I would characterize the low hanging fruit is things that you would probably expect which would be that we're both public companies and as a result of the acquisition we can expect that we won't have to continue to maintain redundant corporate governance and overhead costs and so I would say those are probably the things that we view as near-term synergy opportunities. Over the longer-term we see the opportunity to align manufacturing facilities with the voice of the customer and really go through the same steps of our four pillar strategy with Spartech that we have with PolyOne and we didn't see any specific challenges to doing that in this acquisition then we have with our legacy businesses and back we feel more confident about our ability to deliver now given that Spartech has already embarked on their own transformation and we are really just accelerating that with our leadership team.
Steve Newlin: I would also mention Vicky Holt the CEO of Spartech has had teams started on a transformation and they are heading the right way, but we have learned so much over the last five, six years in this process that we know that we can catalyst for this and accelerate it because we are up the learning experience the learning curve. So we are excited to get going and we think we are going to find opportunities beyond what we have seen on the course review that we have had at this point in the process.
Sabina Chatterjee - Wells Fargo Securities: Then at closing it looks like your pro forma net debt to EBITDA level goes about 2.1 times and I think in the past you mentioned being pretty comfortable with that sort of level, but given uncertain macroeconomic backdrop here. Do you have a new target and if so how long do you think it will take to get there?
Rich Diemer: Sabina this is Rich. We're comfortable at that level, we were back that level just a couple quarters ago and I have seen it come down with the performance of the company. We don't have a new target. We think we actually have some scope to do more acquisitions that they present themselves by the end of the year, certainly not of this size, but you know more bolt-on smaller deal maybe ones that there is some incentive to get close by the end of the year for us and for others. So are comfortable to answer your question and that leverage does get paid down relatively quickly over time in the model (inaudible).
Operator: Thank you for your question. Your next question comes from the line of Lucy Watson of Jefferies & Co. Lucy, please go ahead you are live in the call.
Steve Newlin: Hi Lucy.
Lucy Watson - Jefferies & Co.: Question on the quarter, what's the volume trend for Europe overall in the quarter and which end markets have been the most troublesome?
Steve Newlin: Yeah, I will take volume first of all with respect to Europe. It's down about 4% and you know what's really encouraging about that is that the year-over-year volume comparisons have improved sequentially from about the third and fourth quarter of last year with those comparisons improving. So that's really the answer to volume on Europe. Then your second question was with respect to I think end markets if I am not mistaken, and you know in Europe we did see auto sales being down most for the quarter about 8%, but I would point out that healthcare was a good guy for us across both of our businesses in Europe up double digits.
Lucy Watson - Jefferies & Co.: Okay, and as a quick follow-up. What is happening in Europe to give you confidence that things have finally bottomed out?
Steve Newlin: Well for us, I think that and maybe just to appropriately characterize how we feel about Europe right now is to say that things don't seem to be getting an worse. It's difficult to point to specific things that would say that it's getting better but appears to be flattening out and for us that really has been influenced by our improvement in healthcare which has been offsetting some of the weakness that we have seen in auto in Europe, and then geographically in some of the more challenged locations like Spain we have seen year-over-year sales actually flatting out. So we view that as a positive, but it's not getting any worse.
Bob Patterson: Lucy, I think you framed your question appropriately. We are seeing it flattening out more than any, we are not seeing any evidence of a recovery, but I think we saw enough of a downturn fourth quarter of last year that we are not seeing a progressive step backwards from this point, at this early point in the quarter.
Operator: Thank you for your question Lucy. Your next question comes from the line of Mike Sison for KeyBanc, Mike please go ahead you are live in the call.
Mike Sison - KeyBanc: Hey, good morning guys.
Steve Newlin: Hi Mike.
Mike Sison - KeyBanc: Nice transaction here with Spartech. You have not covered Spartech for quite some time and there was certainly a time where profitability was much better. The packaging technologies business which you are picking up is pretty much where you want it. The trouble areas are [customer screening] color in specialty. Steve what did you see in custom sheet and color and specialty that gets you excited that you can get it back to the levels they used to be?
Steve Newlin: Well I think there are lot of attributes that we characterized as having kind of the legs that we would like see in specialty business. First of all a lot of custom development, custom formulating and production and that's always an attribute that says you are close to your customers they rely on you they need you. Next in adjacent spaces and some of the same markets that we serve a lot of interesting and attractive markets that are right where we are today and some where we have been wanting to get to for a long time. For example aerospace, it's a very long sales cycle, a high spec-in business. Some of this business they have in security is we think very attractive and a growth area as well. So those are I think some of the key attributes that we saw upfront. I think it starts with what kind of customers you have and what are you providing them and how differentiated is it or can it become and then what markets are you serving, do you know anything about them, we know a lot about many of their markets. We have a broader offering to provide those customers. At the same time we get to propel ourselves into some new markets that we have been working on developing for some time now.
Mike Sison - KeyBanc: Okay, and then Bob or Rich, when you think about the accretion in year one, my estimate publically is $0.30 for Spartech next year consensus to $0.39. Can you give us a little bit of help what type of improvement you expect for the base, for their business into '13 and how many synergies sort of kicks in next year?
Steve Newlin: I am going to do this really off of what I say is an acquired EBIT level of about [$20 million] and then with what we assume for interest cost associated with the new financing and then subsequently associated with share buybacks, you know how - into the first full year we would say that interest is nearly offsetting the acquired EBIT less amortization that we assume as a result of stepping up the asset values. So let's call that a net zero on a broader share base next year, means that in the first full year we need to get about $11 million of synergies to breakeven, which we believe that we'll be able to accomplish next year and see (inaudible) to the first full year EPS accretion modestly in the $0.02 range and we'll know more about that candidly when we get to, closer to closing the deal.
Mike Sison - KeyBanc: Got it. Thank you and congrats again.
Steve Newlin: Thanks.
Operator: Thank you, Mike. Your next question comes from the line of Kevin Hocevar of Northcoast Research. Kevin please go ahead you are live in the call.
Kevin Hocevar - Northcoast Research: Hi good morning guys.
Steve Newlin: Good morning Kevin.
Kevin Hocevar - Northcoast Research: So with, you know looks like the target for Spartech in terms of the margin is 8% to 10% over the next couple of years. Does that, and I believe this will all be included in the specialty platform. Does that change your 12% to 16% target margins in 2015. Bob, I know you mentioned that you are locked in on these you know your 2015 goals. I am just wondering if that changes at all.
Bob Patterson: First of all, with respect to our existing businesses we're not changing anything for our 2015 targets clearly by adding an Spartech to the specialty platform that will weigh down the platforms margin potential, but still see line (inaudible) actually getting inside that range. But I would say that we have, we have some time here to think about those goals, but I wouldn't see anything changing significantly?
Steve Newlin: Well I think we - Kevin we'll need a little more time to see how, specially how quickly we can get to those levels of return on sales, but we think ultimately this business has the same kind of attributes that has allowed us to make our progress and we would end up, it may take a little bit longer to get to the 12 or 16, because the starting points are lower, but directionally that's where this is headed and we'll first segregate this from our other specialty business as we evaluate ourselves and hold ourselves accountable to those targets that are out there.
Kevin Hocevar - Northcoast Research: Okay, and then Rich this is a question more for you. What was the thought with we're doing the share, issuing shares to help pay for the transaction instead of maybe issuing more debt and because I believe you would be able to get a lower interest rate than you currently have. So with the thought there, I know you didn't want to raise net debt to EBITDA above three times. I don't know if you would have issued all that if they would have rose it above that level. But just wanted to get some color on the thought we're still into issuing the shares?
Rich Diemer: Sure Kevin. What I would tell you is I think that a prime motivation here is to get the deal done with the attractiveness of PolyOne shares and the ability of the existing shareholders of Spartech the share and the rewards of the go forward inspiration and synergies to the extent they wanted to do that. So as you can see over the relatively medium term. We're going to make this into a more all cash deal, but in the mean time this is what (inaudible) to get the deal done and we are happy to do it in that way.
Operator: Thank you for your question Kevin. Your next question comes from the line of Dmitry Silversteyn of Longbow Research. Dmitry please go ahead you are live in the call.
Dmitry Silversteyn - Longbow Research: Thank you, good morning and congratulations on the quarter and this deal.
Steve Newlin: Thank you, Dmitry.
Dmitry Silversteyn - Longbow Research: It looks like, sort of you are taking a step back you have to take several steps forward in a sense that both GLS and ColorMatrix acquisitions sort of added more value or more specialness to your portfolio where Spartech is a little bit more of a, I don't want to say a fixer-up, but certainly a little bit more of a business and comp. So you're, obviously you have got a lot of confidence that you can get this done given the transformation you did internally already. As you look at Spartech, do you think that the sort of the improvement that you can bring to the table is more on the commercialization and engaging with customers and that the marketing part of the business or is there still work to be done on the manufacturing and rightsizing the footprint of and some of the things that sort of derailed Spartech couple of years ago when they tried to execute this.
Steve Newlin: Yeah, I think you have made an important distinction between this type of an acquisition versus ColorMatrix for GLS. They are very, very different. Those businesses had the deep seeded specially attributes and financial returns already embedded in more like what we were bringing PolyOne to become, where this is a lot like where we were and I think the answer to your question lies on all fronts. I mean, you know and you have watched us a longtime Dmitry. We know how to run a great Lean Six Sigma process to improve efficiency on the manufacturing side, on the working capital side, on the quality side. We know we can add a lot of value there, but we also believe that the commercial opportunities from the. The learnings that we've gained over the years, the experience that we have, some of the tools that are proprietary that we have, that we can apply to the commercial side of his business are certainly there as well. I mean Vicky and her team are just very early in the early phases in some of the businesses starting Lean Six Sigma. We can accelerate that and we have 41% of our employees well-trained in this. For them it's a tiny percentage. So we think there is great opportunity on all fronts. In addition to that, for a company of this size and the size of a market cap the public company costs are not cheap. It costs a lot of money to be a public company and it takes a lot of time and we think that's a quick areas that we can immediately make some gains. Then finally again on the sourcing side we see volume and scale it's financially beneficial. In addition to that I think our financial position which is stronger gives some increased flexibility on many fronts including investing in some areas where they have some attractive growth opportunities, but haven't really had all the opportunity to invest to the full degree, you would if you didn't have some constraints on you. So I think we're - I'd love to just put this into one arena and say we're most excited about this far but really it's across the board on all the fronts that you mentioned.
Dmitry Silversteyn - Longbow Research: Then just little bit maybe of a book keeping question for the purposes of combining the companies and reporting your results going forward. Are you going to split out the color on additives and the engineering materials into your existing divisions and just have the [sheet on role] stock as a third business unit within specialty. Can you give any thought about how you'll be accounting for these segments.
Bob Patterson: I think that's pretty close Dmitry this is Bob, with one minor exception being that there is some contract manufacturing within the color and specialty compounds business that may fit most appropriately with our like business, which is in [PP&S], but largely the Company will go into the specialty platform they way you just described?
Dmitry Silversteyn - Longbow Research: That actually brings to my last question Bob. Are there any businesses within Spartech that you have less interest in let's say going forward?
Bob Patterson: No, not at this time.
Operator: Thank you for your question. Your next question comes from the line of Mike Ritzenthaler of Piper Jaffray. Mike please go ahead you are live in the call.
Mike Ritzenthaler - Piper Jaffray: I would like to go into the technology adjacent season little bit more. Are there any that you are particularly excited about? You mentioned the product adjacencies and some of the commentary on the slides look like they are more focused on end markets and products. I was wondering if there is anything specific about their technology.
Bob Patterson: Well I mean this is by first of all the technologies as we just described them are in an adjacent space largely to where we are today. There is some overlap with respect to color and specific compounds which are more closely aligned with our color and engineered materials businesses, Mike, but when you look at the sheet and then the packaging segments they're really are very different from what we have today and view all those as attractive. Steve mentioned some end-market positions that we're picking up that we like a lot, and I would point out that, Spartech does have number 1 market leading positions in sheet, rigid barrier packaging, and cell cast acrylics is three that we are interested in. Focused really on those end markets Steve, mentions, specifically aerospace and security to name a few.
Steve Newlin: And the technologies, you know, barrier films, acrylics, additives, we think there is a tremendous opportunity for ColorMatrix for Pol from ColorMatrix by putting additives into some of their sheet products that will create a lot of value for customers. So I think it's - we have to get into that level of detail, yet when we can, with ColorMatrix, but we really like the approach of putting, building more into the value and the offering to the customer and making the formulation and the sheet - have greater attributes and characteristics and functionality.
Mike Ritzenthaler - Piper Jaffray: Okay, that's helpful. And then on ROIC, could you discuss ROIC targets to the extent they discussed sort of internally into the next couple of years. In the past you've been in the - 30s, which has been one of the real calling cards for PolyOne. And have been more in the teens recently since picking up on the M&A front. So I guess the spirit of the question is around management compensation on ROIC and have you had to change compensation matrix to adjust for sort of near term - effects of the M&A?
Rich Diemer: So Mike, this is Rich, I think I'll take the first part of that and then let Steve do the second part. What do I tell you is that, our targets for ROIC, that we stated in our analyst day, earlier this year is still the targets we have, if you look specifically at this deal. It's gotten very, very attractive ROIC. If you look out into the future as we realize the synergies. Somewhere in the range of 20% plus which is significantly over our weighted average cost of capital. So this is a very attractive acquisition and we're going to go and deliver it. I'll then hand to Steve.
Steve Newlin: Yeah, let me tackle the question about changing our incentives around ROIC, we don't have any plans to do that. We think ROIC is a meaningful and important metric. And we measure it and we discuss it in people's performance assessments. But I believe in simplicity and easy measurability in compensation for people. And I believe is direct alignment as we can have with shareholders and I think that our compensation plan as it stands today in PolyOne is the appropriate one. I think it certainly hard to argue this isn't driving performance. So we don't have any plans to use ROIC as a bonus reward incentive metric.
Mike Ritzenthaler - Piper Jaffray: Okay. Just one last one from me then. I'm a - what was the qualitative composition of organic growth, I mean Bob had gone into some of those details, this is if - more of a question on the quarter. Packaging, healthcare, consumer products, if you could give us a little bit more color around which one of those were particularly attractive from organic standpoint? And if the organic improvement was $0.04 as you had mentioned - what was the top line revenue organically on a percentage basis.
Bob Patterson: Yeah. I'm going to start with, first of all, as you elected that - you already talked about the $0.04 EPS, year-over-year which is the most significant addition that we've had organically, quarter over quarter was a remainder of $0.02 coming from share repurchase and then $0.01 from ColorMatrix accretion. And the market segments in which we experienced a greatest drop were packaging, appliance, electronics and then healthcare. And as I mentioned earlier, our remarks, healthcare is now actually 12.1% of our sales. Which was an all time record for us.
Steve Newlin: I think the softest areas for us for the quarter were automotive and consumer and automotive, a lot of that was due to Europe, the builds were down 8% and we're hooked into that space in Europe. That gives you some sense of the growth rate.
Mike Ritzenthaler - Piper Jaffray: Okay, and then I guess - the other part of the question was the top line revenue growth organically, was there a breakdown there?
Bob Patterson: Do you have that?
Rich Diemer: Yeah, this is Rich. What I would tell you is that the [walk] there is - plus 7 on acquisitions, minus 1.5 on volume, minus 2.3 call it, on price mix and minus 2.5 on FX, what I would I would also amplify there, is that the preponderance of the price mix was in PolyOne distribution and PP&S, where there was some input costs decreases, so I think you've looked more closely at the margin, improvements there, hasn't as being indicative in the special fee businesses, prices mix was as positive 3.5.
Bob Patterson: POD had price declines of 3% and that's pretty much a direct passthrough in that business so that's a $1 billion base that had a 3% lower material pricing.
Mike Ritzenthaler - Piper Jaffray: Okay. Great. Thanks and congrats guys.
Steve Newlin: Yep, thank you.
Operator: Thank you for your question, Mike. Your next question comes from the line of Christopher Butler, Sidoti & Co. Christopher, please go ahead, you're live in the call.
Christopher Butler - Sidoti & Co.: Hi, good morning, everyone.
Bob Patterson: Hi, Chris.
Christopher Butler - Sidoti & Co.: As I look at this deal and look at what Spartech's doing and what synergies that you expect from it, we're still getting EBITDA margins only to about 10% as was touched on earlier, could you talk to other factors like, global cross-selling opportunities, that may help bridge the gap that may not actually find its way into operating margins and similarly what kind of negative sales synergies might you expect there as you reduce some of the lower margins sales here?
Bob Patterson: As of now, I'm going to take it this first and just say with respect to you know, our EBIT expectations what we had in the slide deck, of getting the acquired businesses to 8% to 10% over time, that should translate itself to a higher actually, EBITDA return by addition another 2 points, let's say. But you know, much in the same way that we set targets for ourselves, even going back to 2007, for what we set in 2012 and then we've subsequently updated those to 2015. We really view those as interim goals and that's not the end game. So that's what we think we'll get to inside of three years. But believe that we can get beyond that. With respect to cross-selling opportunities, there are Steve already mentioned the opportunities with respect to additives, from our Global Color Additives and Inks, our portfolio, which could align with their products and then I would also say the same thing about our colorants as well in addition to the additives. We also have a global footprint and do you know, we haven't talked that much about globalization but view that as a significant opportunity, 94% of Spartech's sales are in the U.S. and we see the ability to take those globally.
Steve Newlin: And it's actually 94% in North America, but nevertheless the opportunity to expand this globally, is huge. And I don't think what we don't know yet, and we haven't factored in our - what are some of the other ways that we can use PolyOne resources, and Spartech resources combined to sell more complex packages. We haven't even factored that into this, I will tell you in our modeling we did expect to have some pruning in the business. We won't tell you the amount of that but we did certainly model some treated business as a result of repositioning the portfolio and making sure that when we are working with customers we have something of great value to offer them.
Christopher Butler - Sidoti & Co.: And with the revaluation of assets, could you give us a sense on where you expect depreciation to be.
Bob Patterson: We're going to take that - we're basically going to add about $2.5 million to the existing run rate. So that's about 32 plus 2 call it 34.
Christopher Butler - Sidoti & Co.: I appreciate you can.
Steve Newlin: Thank you.
Operator: Thank you for your question, Christopher. Your next question comes from the line of Steve Schwartz of First Analysis. Steve, please go ahead, you're live in the call.
Steve Schwartz - First Analysis: Good morning, everyone.
Bob Patterson: Hey, Steve.
Steve Schwartz - First Analysis: I guess the first question and it ties into what a lot of people have asked, but I'll ask it in a slightly different way. Of the $65 million in synergies, how do you expect that to split out between corporate savings and operations restructuring?
Bob Patterson: At this time we're not giving any additional details on the carve-out of the $65 million. There may be a point in time where it becomes more appropriate for us to outline that when we get to closer to the close date, but as Steve mentioned in a previous remark, yeah, we do see those synergies taking place on several fronts. One being reduction of corporate governance costs, and things associated with being a public company. The next two categories really would be the implementation of our lean Six Sigma program, aligning manufacturing assets with the voice of the customer and then finally on the commercial side, with respect to improving, sales force training efficiency and effectiveness. But that this part we're not assigning values to either one of those, but would say that when we'll might be able to do that here in short (Inaudible).
Steve Schwartz - First Analysis: Okay. And one of the reasons I ask is that have you formulated any thought about their packaging tech center and so forth. Spartech has done a lot to consolidated all their technical resources, into a new tech center St. Louis and I'm wondering if, you - will day or two [offset] that and maybe move all of that to Avon Lake and how that might affect the opportunities within that business.
Steve Newlin: Well, first of all, you know, that we love innovation at PolyOne and that's one of the things that's driven our profitability improvement and our transformation. So we have zero plans or intentions to shut down their exciting new innovation center in St. Louis. Could we change that? I guess we could but our belief is that's a very valuable asset that will help drive this transformation and really create value for the customers and in turn the shareholders. So we're excited about it. It's just not on our radar screen to think about closing a facility like that. That's a - it's a nice asset. They made a tough - they've made tough choices, they've had limited opportunities, limited funds and resources and I'm really pleased that they chose to invest in innovation and in R&D because that is what is driving our - has driven our transformation, it's one of the key drivers and it's certainly would be very helpful going forward.
Steve Schwartz - First Analysis: Okay. Thanks, Steve, and then just as a follow-up, if I could, Bob, within the $65 million, given their relatively low gross margin level to your own, I'm going to presume you're going to look at closing a lot of facilities, what have you, consolidating, typically that requires a certain amount of cap spending. Have you factored that into the $65 million that you guys are talking about at this point?
Bob Patterson: The cash cutters and estimate cash cost is included in the slide deck on the website, at about $60 million.
Steve Schwartz - First Analysis: $60 million. Okay, that's great.
Bob Patterson: All factored in.
Steve Newlin: All right, thanks Steve. We've got time for one more question.
Operator: Thank you. Your next question comes from the line of Rosemarie Morbelli of Gabelli & Company. Rosemarie, please go ahead, you're live in the call.
Rosemarie Morbelli - Gabelli & Company: Good morning, all and thank you for taking my question.
Steve Newlin: Sure, Rosemarie.
Rosemarie Morbelli - Gabelli & Company: Thought I was not going to make it. Talking about CapEx, your estimate is around $52 million for PolyOne. Where do you think that particular level will be including Spartech, particularly since you mentioned that they didn't have the financial means to do - to take certain steps?
Rich Diemer: Yes, Rosemarie, this is Rich. What I would tell you is the way we've modeled this is approximately $25 million of CapEx per year, and I'd say about 40% of that $10 million is safety and maintenance CapEx. Certainly there are opportunities with great paybacks, we have the flexibility to increase that and we'll obviously know more about that as we get closer to the business.
Steve Newlin: Yeah, and I think, to emphasize Rich's the last element of his answer, which is if we see great opportunities, we have the - we have the funds to make investments, we'll make judgment calls, we want to understand the markets and then returns but if they're there we're going to invest in and play this out as a long term game.
Rosemarie Morbelli - Gabelli & Company: Okay, so if I understood properly you have your own CapEx and you've add about $25 million for Spartech?
Steve Newlin: More or less, yes.
Rosemarie Morbelli - Gabelli & Company: Okay. And could you give us a feel for the existing size of Spartech's specialty products? Because while I know very little about the company, my perception was that it was mostly commodities?
Steve Newlin: We would say that we don't believe it's mostly commodities by any means and you might conclude that looking at some of the return but I will tell you when you get inside and see what they're doing for their customers and see how customized a lot of these applications are. And see the value that it brings to their end customers, we would categorize, this entire batch of business as specialty as we categorize it at PolyOne six years ago, where we took color additives and Inks and we took our engineered materials. Even though they were components of those businesses, Rosemarie, that were commoditized, they didn't have as much value-add they were still in the markets and had a customer base that could benefit from value added application know-how. Service et cetera. So we would say that all of this with the exception of some contract manufacturing a little sliver of the overall $1.2 billion in sales. Would be categorized for us in this specialty camp. And remember when we declared those businesses of PolyOne specialty, they didn't have the profitability attributes, but we put them in that segment because we believed in the longer term end market development and the uniqueness that we could bring to customers.
Rosemarie Morbelli - Gabelli & Company: Okay. That is helpful. Could you, Steve, talk a little bit about - I mean I know, you said you would not give a number, but currently Spartech, has $1.1 billion, $1.2 billion in revenues, could we anticipate about a 10% pruning and does that eliminating those particular product lines, or customers whom - with whom you just want to be able to get specialty type of margins?
Steve Newlin: I'm really - I'm not trying to be coy here, but we can't possibly even assess that at this point. I think that will be evolving with time. And I think that while we've factored something into our plans, just to be safe and conservative. We can't at this point have discussions about customers and margins et cetera. We're just not allowed to go that deep when you get into these kind of conversation. So that's something we'll work very closely with the outstanding management team that we have down there. And Spartech will help us get through this. And we'll work it together as you've raised bar, you begin the quickly understand where your customers value you and where you're just another me too player. That something we'll be going through together with them as we get arms around this deal.
Rosemarie Morbelli - Gabelli & Company: Thank you. And then on the PolyOne side, have you experienced any benefit yet from - what appears to be a housing recovery? Or is that still another couple quarters away?
Steve Newlin: So we'll answer that and then we'll have to sign off, Rosemarie.
Rosemarie Morbelli - Gabelli & Company: Sure.
Steve Newlin: I think as far as you've heard a little bit of improvement in housing starts, in the U.S. consensus forecast, now for 2012, there's $750,000. So far for 2013 it's 910,000 units so if you believe those numbers it's a step in right direction. I think PP&S is benefitting from some increased activity in the North American Housing market. We see some growth in applications like pipe fittings, appliances and wire and cable. So about 30% of that business is directly tied to housing. It's way down from what it was at few years ago, about half what it was a few years ago. But that's what we would say in response to your question. I thank you very much and I think with that we have to conclude our third quarter 2012 conference call. We want to thank you all for your continued interest in PolyOne and for joining us on again, on short notice on our call today. We are excited about what happened in the third quarter and very excited about our future. So we appreciate your help and your support and your interest. Thank you very much. This concludes our call.
Operator: Thank you for joining today's conference. This concludes the presentation. You may now disconnect and have a good day.